Will Maze: Good afternoon, ladies and gentlemen. Welcome to Comstock Incorporated Second Quarter 2023, Business results, Webcast. This is Will Maze with RB milestone. For those of you new to the story Comstock is an innovator of technologies that enable systematic de-carbonization and the energy transition by efficiently converting under utilize natural resources into renewable energy products through three divisions Comstock Fuels, which converts biomass into net zero renewable fuels, Comstock Metals, recycles e-waste and critical metals and Comstock Mining, which holds significant gold and silver resource in the target rich district in Nevada.  Comstock shares are listed on the New York Stock Exchange under the symbol LODE. Joining us today is the Company's Executive Chairman and CEO, Corrado De Gasperis, and COO, William McCarthy, they will discuss second quarter results and give an update on current operations, and we'll also be answering questions at the end of the presentation. And if you're interested in asking a question or logged into the Zoom app or web platform, you can submit your questions directly to us in the Q&A module. Please note that this presentation is being recorded today, August 10, 2023, and will soon be made available on the Company's website @comstock.inc. If you are registered for the presentation, you'll be receiving a brief survey by email from RBMG. Your response to the survey will be greatly appreciated and helpful to us in Comstock in strengthening its investor relations efforts going forward. We appreciate your participation. Today's call may contain forward-looking statements that are subject to risks and uncertainties that may cause actual results, performance or developments to differ materially from those contained in the statements that are not guarantees of future performance of the Company. No assurance can be given that any of these events anticipated by the forward-looking statements will occur or if they do occur, what benefits the Company will obtain from them. Also, some risks and uncertainties may be out of control of the Company. Comstock has a full disclaimer contained in their presentation on their website. Lastly, RBMG is not a registered investment adviser or a broker-dealer for more information, please visit rbmilestone.com. Now it's my pleasure to introduce Mr. Corrado De Gasperis and Mr. William McCarthy, Gentlemen, the stage is yours.
Corrado De Gasperis: Thank you, Will. Good afternoon, everyone, and welcome to Comstock's second quarter 2023 report. As Will just mentioned, you have both Billy McCarthy, our Chief Operating Officer, and myself here today for the business updates and the Q&A following the call and you'll get an even more in depth review today on our fuels and metals recycling businesses from Billy as part of our presentation.Our updates will include covering the information from today's press release and our recently filed second quarter report on Form 10-Q. You'll find our press release at www.comstock.in/investors/newsroom. You can also see our updated and new websites at www.comstock.inc, where you'll find a significant amount of investor relevant data on that same Investors tab. And also please note, as Will said, the RBMG Investor Survey button, where we have initiated this quarterly investor survey and engaged RBMG to survey you and provide us your feedback.  And we are very committed to getting that information and publishing the results quarterly. We're sincere about that and we hope that you'll participate, go in and provide that feedback. We also have newly dedicated websites for Comstock Fuels and Comstock Metal, that can now be continuously updated with content from those businesses and will have Comstock Mining up and running soon. You can access them all from the main Comstock website. Let me start today's update with a corporate update of our investments, including the sale of the Proof facility and our equity investments in both Green Lion and the Sierra Springs Opportunity Fund. We finalized the sale of the Proof facility and we've received now $21 million in cash and another $6 million of ABML stock. Once that stock is sold, we will have received over $15 million in net cash proceeds. We were actually just notified yesterday that the ABML stock is now fully registered with the SEC and freely tradable, so we will immediately begin monetizing that $6 million. We'll also record an accounting gain of over $7 million in our third quarter P&L for this completed transaction. The delay in selling those ABML shares did result in us issuing some load shares. We now have 109 plus million outstanding shares, with about 4.7 million of that increase being issued by us over the past few months, as we were waiting to sell those ABML shares. An additional 1.8 million shares was issued associated with the conversion of our debt, where there's now only 750,000 remaining as the outstanding balance on that convertible note. We're very happy to have consummated the sale of this facility at great liquidity and profit to us, all of which is free of taxes. Happy to report that we have come to an agreement on a sale of a portion of our Green Line investment. You may recall that back in 2021, we invested $2 million at about $55 per share, and we recently agreed to sell 1500 of our 37,000 plus preferred shares for a selling price of over $550 per share. That's a ten X on our investment and values. The rest of our existing Green Line shares at over $20 million. Green Line is growing rapidly, and we plan on opportunistically liquidating the remainder of those shares as they continue growing and hitting key milestones likely over the next twelve months.  We've also progressed our plans to sell our Silver Springs properties now, though at higher values than originally estimated. It'd be safe to say that the current assessment of our Silver Spring property values have doubled versus our prior expectations, pushing that $10 million to at least $20 million. This comes from direct comps and recent approvals that both Microsoft and Circle-K have received for their groundbreaking projects. These projects are in Silver Springs and in the immediate proximity of Comstock's properties, with our corporate investments growing in value, and with the enhanced opportunities to monetize at higher values, we expect now to significantly exceed our $30 million worth of asset sales target with $15 million as I just mentioned already completed. Our strategic investments also include Genmat, of course, who have been exceptionally busy this quarter and represents an incredibly valuable component of Comstock's long-term innovation strategy. Genmat's ability to rapidly simulate and engineer new material solutions, including, for example, for batteries, can be deployed today for commercial use. In just the past three months, Genmat has recently demonstrated directly to and for its potential customers its ability to rapidly and accurately simulate material characteristics. This capability is bleeding edge in the AI world and represents Genmat's core value proposition. Genmat has also established its first direct third party research agreement with the Indian Institute of Science. It's remarkable who will collaboratively conduct experiments that validate the efficacy of Genmat's technologies. And third importantly, Genmat has also received regulatory approval for the launch and operation of its hyperspectral imaging sensor for mineral discovery.  Now that these government approvals are secured, Genmat One, its CubeSat, is scheduled to launch later this year, carrying one of the most powerful accessible hyperspectral imagers that will enable us to extract relevant chemical and physical information for high precision mineral prospecting here on the Comstock. Genmat's 2023 efforts include launching the satellite and imager jointly, enhancing Comstock's mineral composition data, integrating that data with our analysis, and ultimately enhancing our ability to better pinpoint our mineral targets.  Let me turn to our businesses now. Comstock Fuels, Comstock Metals and Comstock Mining. An overview where each one is advanced and what our next key objectives are for the rest of this year. Once I've done that, I'll turn the call over to Billy and he'll provide more specifics on our fuels and metals business activities.  But let me start with Comstock mining. Comstock Mining has received cash proceeds of $1.25 million from a new mineral lease with Mackie Precious Metals. That will also bring us an additional $1 million in cash revenues between this quarter and next quarter, plus ongoing annual revenues of over $1.5 million per annum. This covers all of our mining costs while advancing the northern exploration targets, where we also have royalties on all of those lease properties. We own those properties. We've leased these properties for revenues, and we've retained royalties on those properties above and beyond and.  But we've also been engaged with multiple potential mineral development partners with the objective of expanding our existing gold and silver resources throughout the rest of the district. We have recently developed plans and proposals for doubling and even potentially tripling the gold and silver resources across the districts, excluding the Mackey targets.  I don't say that lightly, as we are evaluating the best plans and the best potential partners for developing these gold and silver resources for at least two million ounces without deploying any of our own capital in the ground and while simultaneously achieving cash profitability from our mining line of business. That's exceptional in any contrast or any context when it comes to junior mining assets. The completed Mackie deal represents a huge start for us toward that objective, getting us to the point where we're covering our costs.  We believe that our mining properties collectively contain billions of dollars of potential recoverable metals, and our plan is to unlock that value intelligently. Let me move to Comstock Metals, where our team has had an extremely active three months. We indicated on our last call that we'd roll out our new metal recycling plan, and we have jumped on the near-term opportunity for capturing the rapidly growing number of expiring photovoltaic systems that are now coming out of these large, massive solar fields, most of that stuff majority it's here in the Southwest region that includes California, Arizona, and, of course, Nevada. These materials are now going into land deals in creating a major and increasingly unpopular hazard to the environment.  We have finalized our plans, and we are deploying our fully redesigned, commercially ready-plant that will crush condition. Extract and recycle these end of life solar panels. Our newly selected site in Silver Springs has already been approved by Lyon County for this use, possibly the fastest approval that we've ever received. And we are now permitted by the county to both store and process these materials at the same location. And we're readying the site for installation of our production system with some of the equipment already arriving just last week.  We've also submitted the other two required end depth permits with the expectation of full approval by the end of this year. Our revised plan is better, safer and faster. We will receive upfront fees from the waste solar panels and we will process them profitably. Our metals team is currently engaged in sourcing these waste solar panel materials, and these agreements will be announced as soon as they're finalized. We see very little competition here other than watching these materials continuously go into the landfills again.  Again, Billy will describe this in more detail in just a few minutes. But suffice to say that securing these revenue generating supply commitments and getting these permits for commencing production are the remaining key objectives for 2023. Metals is now leading, and so is Comstock Fuels. We all understand very well by now how most renewable fuels draw from the same feedstock pool, typically vegetable oils, and that the total supply of these vegetable oils can only meet a small fraction of the rapidly growing demand.  Our target customers and partners have validated this as a top strategic priority. This is because the U.S market alone currently consumes about two and a half to three billion gallons per year of these vegetable oils, with known renewable fuel capacity coming online about to demand another five to potentially seven billion gallons per year. And this is not readily available and it is very expensive. Our technologies unblock this bottleneck by converting abundant underutilized woody biomass into bio intermediates like cellulosic, sugar like Biolium for refining directly into renewable fuels.  We've identified specific partners and customers in all five major regions, starting with the United States as Region One, and Canada and South America and Europe and even Africa. Our team has engaged globally with significant industry players and we already have and are continuing to physically demonstrate our ability to efficiently generate yields of over 100 gallons of gasoline equivalent fuel per dry ton of feedstock. It is this capability that squarely puts us in the leading position to supply, integrate and elevate this industry and the entire supply chain. Billy will explain how we're currently engaged in outlining the parameters of these partnerships. This process has been remarkably diligent on both sides in validating our technology, how it integrates, and how we accelerate the deployment of these solutions together. And we're very, very pleased with that progress.  It has also resulted in us prioritizing and engaging a third party engineering firm to calculate what will soon become an industry leading carbon intensity, or CI-score. For us, we are leading in every technical aspect and we look forward to the execution of one or more commercial agreements with these customers this year. That's what everyone's looking forward to. And from where I sit, we're at the when-not-if mode, when it comes to these agreements. I'm now going to turn it over to Billy to provide you some additional insight and some details in depth on both Comstock Metals and Comstock Fuels. Billy?
William McCarthy: Thank you, Corrado, and good afternoon, everyone. I'm excited to share some more details on our development activities in both Comstock Metals and Comstock Fuels. I'll start with Comstock Metals at Upload. Back in June, we talked about what we could do in the electrification products recycling space. Today I'm going to talk about what we are doing, and it's quite simple. We're building a market leading regional solar panel recycling business. We're starting in northern Nevada with the goal to expand throughout the Southwest. Our thesis for this business is based on three points. First, the data shows that with the first wave of solar panel deployments heading towards their end of life, this industry will grow substantially over the next several years. Second, previous attempts at commercial recycling solutions have been hampered by high costs. Our process operates at a lower cost per ton, making the economics competitive today with the only other viable solution landfills. Third, speaking of landfills, with more solar panels competing for limited landfill space, the potential for more regulation of the disposal of solar panels, the cost of landfill disposal is likely to face continued upward pressure. So our thesis is that in an expanding market with rising prices, an effective low cost solar panel recycler can capture significant market share at high profitability. Now, let me share some more details about how we plan to do this by walking through the near term objectives that we're tracking. The first phase of our plan is to construct and commission a commercial scale demonstration facility and to operate it profitably. We've recently leased a building in Silver Springs, Nevada to house this facility, which we call Project Vega.  We're readying the site now for the installation of the production system later this year. Permit applications have all been submitted. Equipment has been ordered and is expected to arrive in Q4. As of today, I will say it's probable that we will be operational in Q1 2024. And on the next quarterly call, I should be able to provide a firmer date for the commissioning of this facility. We also recently dismantled and moved the components of our battery recycling pilot system from Wisconsin to the Silver Springs facility, where these components will either be reused in this deployment or stored for future use. We expect the installed costs of project Vega to be around $2 million. On the supply side, we have a number of ongoing conversations with qualified parties, and as the permitting process moves along, I'm confident those deals will be formalized and we'll be able to share more details.  We're finalizing a preliminary pro-forma projection for this business and we plan to share those numbers with you before the end of the year. It's probably not obvious to everyone; it wasn't to me until recently. This solar panel waste is a real problem for the people who deal with it every day. That includes municipal solid waste managers, private waste collectors, and sometimes even contractors whose clients are demanding a sustainable disposal solution. They all need a destination for recycling. It needs to be reliable, economical and sustainable. I'm confident that's what we'll demonstrate next year with project Vega now beyond the demonstration facility as the next step, we're looking towards a larger facility. Our team calls it an industry scale facility. And now I promise we're going to be working on that in the background. We will not be saying more about it until Project Vega is fully operational. So we'll update again on this progress next quarter and we should have more clarity on the timing of Project Vega's commissioning at that time. Now I'll turn to Fuels. We're making incredible progress in the growth of this business, so I'm going to review and try to better contextualize some of the key milestones we've achieved. More exciting though, I have some news to share with you today on developments that are happening real time here in the third quarter. But before we do that, some background and context. This market is big. The world consumes over 1.5 trillion gallons of liquid fuels each year in the United States. This includes three billion gallons of renewable fuels that are produced at advanced bio-refineries from Fats. At the beginning of this year, the U.S. Energy and Information Administration, the EIA, counted 17 biorefineries operating in the United States which produce those three billion gallons per year. The top ten of those refineries make up 2.5 billion of the two billion gallons.  And the market is growing. The EIA projected this February that with the known projects in development, renewable refining capacity could double in just the next two years. The process of making fuels by hydroprocessing, as used at these renewable refineries, is robust, effective, scalable, and most importantly, adaptable to new feedstocks specifically to biolium.  Biolium is the missing link. That connects existing renewable fuel refineries to low carbon emissions lignocellulosic feedstocks. We connect that link through our technology, our engineering, and our deployment strategies.  At its core, our business is all about connectivity and collaboration. So back to our technology development progress. It our core process. First separates woody biomass into two streams. The first one is pulp. We convert the pulp into sugar. Sugar converts to ethanol, and ethanol can be blended with gasoline. We announced this process produced ethanol and it was demonstrated at TRL Six last year. It's been ready to go commercial and it remains so. The second stream is Biolum. Now, to this point, we've described Biolum as an alternative for crude oil. And it shouldn't be surprising that we call the raw form of this Biolum product, which comes straight from the tap, crude Biolum.  To be clear, the crude Biolum is not ready to go into a renewable fuel refinery. It requires some additional processing, as we announced today. In the second quarter, we demonstrated the production of a new lignocellulosic renewable fuel refinery feedstock. We call this product biolium oil. Biolium oil can be hydroprocessed into fuel. This is a major step forward in our development. This Biolum oil pathway, integrates key technology components from our collaborators at Renfuel, the Swedish innovation Company, to upgrade the value of Biolum.  We started this work with Renfuel last year in Q2 of this year, we successfully demonstrated the production of Biolum oil, both in RenFuel's lab in Sweden. And in our facility in Wisconsin. We've now established a small pilot system in Wisconsin with plans to expand that early next year, but we're still not done. Biolium oil can make fuel, but it's not drop in ready at existing renewable fuel refineries. The unique composition of Biolum oil requires one more step to reduce oxygen content and to reduce molecular weight before it's acceptable in existing facilities.  For this next step, we're working with two more collaborators. In addition to Renfuels Emerging Fuel Technology in Oklahoma, who's recognized as the top contract research lab in the country for hydroprocessing, and also a specialty catalyst developer based in Europe. I'm thrilled to announce that last week we demonstrated the first successful pilot run at EFT's facility, producing our new refinery ready drop in feedstock called Hydro Deoxygenated Biolium Oil, or HBO for short.  HBO has similar oxygen content to fats and tends towards higher production of SAF versus renewable diesel compared to fats. HBO can be blended with, or can completely replace the fat in use at these refineries.  Today, the samples of HBO and SAF and renewable diesel produced from it have been confirmed and additional analysis is underway this week. This is the major milestone that we've been working towards for two years now. Further developments continuing as we speak, and I expect to have more details to share in our progress at the end of this quarter. We're also using RenFuel's technology to process craft lignin the waste stream from paper mills into more Biolum oil to access an additional feedstock source readily available today. We're discussing this opportunity with select early adopter candidates in the paper industry today, and we'll be sharing more details on this segment later this year. So I hope this gives you some better insight into the importance of these recent milestones, but also know how we're making this meaningful progress with our relatively small team. Our Wisconsin R&D facility is the hub of our fuels innovation and commercialization activities and the home of our integrated demonstration systems. Renfuel's Lab in Sweden, with over a dozen PhD scientists, including some of and maybe all of the world's preeminent experts in lignin chemistry is focused on the development and optimization of our Biolium Oil emerging Fuels Technologies lab in Tulsa the premier contract.  Research lab in the country for hydrocarbon process development is working to optimize the production of hydro deoxygenated Biolum oil HBO to maximize fuel yields. And finally, our own engineering lab in India continuously runs high throughput experimentation and analysis. To generate the data, our engineering team needs to design production scale systems integrating these components. So what's next We've delivered all the necessary technical proof. We're at the point now where we're ready to scale up to commercial size.  Our next major milestone will be the announcement of our first refinery off-take partner. These conversations are ongoing and they're going well. We're testing biolium oil and HBO with select prospects, and we'll provide more detail on these plans on our next quarterly call.  I'm going to stop here and hand back to you, Corrado?
Corrado De Gasperis: Thank you, Billy. I can't contain the excitement just being able to say Biolum oil publicly describing HBO, the ability to create drop in fuels. Billy said it right, fuels and metals are ready to deploy. The tech is TRL six and rising. We're passing all of these third party tests. We are fully engaged and we're on track to deliver commercial agreements for both fuels and metals this year. As we reflect on the renewable fuels and renewable metal landscapes against just our known and our now ready technologies, we can easily argue that we're dramatically undervalued. I mean, it's actually ridiculous based on any current comp or any current valuation you'd want to apply to this.  But unlocking that value is our job. It comes down to successfully commercializing this technologies, generating the revenue, generating the earnings, while successfully marketing the technologies. I hope just this conversation gives so much better appreciation of the magnitude of our platform, the magnitude of our partners, the level of partners and customers that we're targeting, and that's the value that we want to convey, that we want people to appreciate and understand.  As I said earlier, this will happen. It's not a question of if, simply, but when. And not coincidentally, we're now also attracting more industry three analysts and we are now scheduling with RBMG non-deal road shows, including the Sadati conference next week, which you can all register for and listen to, as well as additional virtual and live investor meetings that are already being scheduled for September. And frankly, throughout. The rest of this year. We are commercializing mining showed it already, Metals is showing it coming fast. And Fuels in perhaps the biggest way is about to show it putting us in a whole new state of reality as a Company and as an investment. I can tell you it's all happening now with Billy providing you the details. It's just energizing throughout our enterprise. I think we'll just stop there and turn it and open it up to questions. Do you have our first question? 
Will Maze: Yeah. Well, thank you very much Corrado and Billy, and thanks for the insightful presentation. And as Carrado mentioned, we'll now move to the Q&A portion of the call and we have had some questions submitted prior to the webinar.
Will Maze: [Interpreted] So we have had several actually on one topic and that was asking for more updates and timing around Fuels potential for a commercial agreement and what type of counterparty that agreement may be with. So if you could comment on that?
Corrado De Gasperis: Yeah, Billy, why don't you give a little extra color on that from what you just said?
William McCarthy: Yeah. So to restate the next step in our process, we've worked through all the prerequisites and the next step and the next agreement is with that downstream refinery partner. We're now producing a drop in feedstock for an existing refinery and when we get through the qualification and find that first refinery that's ready to take this product. Now, as far as who that is, I think I shared earlier, there are 17 active biorefineries operating in the United States. There's ten that are really substantial size and that's going to double here soon. And that's. Addressable market for this offtake contract right now. I think we're very well covered across that universe, and there's a couple of different factors that drive those decision processes.  But we're getting very close, and it's our next item up on the docket to check off.
Will Maze: [Interpreted] Very good. Thanks, Billy. You got next question up is regarding financial outlook. Really, it's on cash flow expectations and future financing potential requirements?
Corrado De Gasperis: I'll take that one, Will. So I mentioned on the call that we're now fully, thankfully, fully capable of monetizing some of our current investments. Right on tap is the American battery stock that we got as part of the Peruse sale that $6 million will be very comfortably liquidated over a two to three month period, so that addresses our immediate term. We're also getting some nice proceeds from the sale of the Green Lion shares targeted scheduled for this quarter as well. So in the near term, things are good.  We are very active with the Silver Springs. More active than I've ever know. I really think the Microsoft entrance right into Silver Springs, right across the street from our know, created a whole surge of new activity. Yes. And the most immediate impact of that the most immediate impact of that is marking the existing properties to some of those comps. And so in the near term, that's our mindset we're not interested in dilutive. Financings, but we are interested in growth. And it's a big reason why we've scheduled a lot of these non deal road-shows. We want people appreciating what's happening. We want people appreciating what's about to happen.  A lot of these institutional investors need the kind of validation that Bill just described and we're ready to describe it. We're ready to get face to face. We're ready to walk people through everything that we've accomplished. For me, I'm literally giddy to be able to talk about HBO and Biolum Oil openly, to be able to validate the yields, to be able to explain how we can literally, even with the current state, double the feedstock to the entire industry. And that's just a drop in the bucket for what the potential is. Beyond that with Biolum, we're going to be out. We're going to be explaining that. We are going to be announcing a leading carbon CI score. We're going to be announcing progress of deploying a full production facility for metals. We're going to be announcing commercial agreements and we think that's going to all take care of itself very effectively as it converges into the fourth quarter with the mantra being growth, the discussion is going to be growth with specificity. So I think a lot of the shareholders that have been so incredibly patient with this process are going to be rewarded and I'm really looking forward to all of that.
Will Maze: [Interpreted] Thanks, Corrado. We have another question here. You provided a great update here on your businesses. This one specifically is asking if you could provide a little bit more color on the solar recycling business. When is the initial launch expected? Who supplies this e waste and who pays the fees? And how large is this market potential?
Corrado De Gasperis: Billy, please take that one as well.
William McCarthy: Yeah, absolutely. So we're really targeting a launch beginning of next year, full commissioning and operations. At that point, I just want correction. I think the term e waste has a slightly different meaning here. So we're trying to be pedantic. Electrification product waste is how we describe photovoltaic panels. But these panels are generally the way we're looking at the business right now. There's two main sources. One is sort of waste collectors who are collecting them at the source, whether that be a construction site or otherwise, and looking for a place to bring them today. They pay to dispose of them in landfills. And this business would be a similar tipping fee business where we're paid to dispose of them in a more sustainable manner. The second large source of panels are large utility scale deployments. That's the second segment of the market that we're talking to and evaluating, and we think a lot of the growth will come in that segment as well.
Will Maze: [Interpreted] Great. Thanks, Billy. Next question is talking about commercial readiness, the TRL scale do they're asking if you could review the commercial readiness of each of the divisions and also give a little bit more color around the TRL scale definitions. And one question was asking, what is sort of revenue differential or opportunity between, say, TRL Six and a TRL Nine?
Corrado De Gasperis: Billy?
William McCarthy: Sure. Well, TRL Six is that we've demonstrated process in a relevant environment, in a commercially relevant environment.  And some cases that means we've linked the system together into a continuous process. If that's what we're trying to achieve, sometimes it can mean we've shown multiple discrete steps. Again, if that's the way the process gets implemented in production, it's about doing it in a relevant way, scaled up to a point where we understand that there will or will not be changes as we scale up. So to give you an example, for fuels, we run a small pilot system, and we run a very large pilot system. Now, on a day to day basis, we're operating our small pilot system. It's 15 day because it's convenient.  It's also because we've done hundreds of runs on the large system and proven that there is no change in process from small to large. These are the factors that go into this determination of TRL Six. And I say in every one of these cases, what we've sought out to do is get validation from other third parties, whether they be prospective clients or other third party engineers that we work with to make sure we're not being a little overzealous in our estimates.  Right. We're always checking ourselves on those. Once you're at TRL Six, we're ready to go to scale up, we're ready to go to commercialization. So so I think the way I look at it is that the opportunity is tremendous at TRL Six. At TRL Nine, you're stamping out another copy of the thing you just built. It's a production business. It's a fixed set of economics. There's not a growth opportunity there. So we see that. Opportunity to take things from TRL Six to TRL Seven, to TRL Eight, to TRL Nine as the greatest opportunity in all of these different technology segments as we look at this energy transition economy that we operate in. 
Will Maze: [Interpreted] Fantastic. Thank you, Billy. I believe we're coming up here on time. This last question is asked, asking for an update on the Genmat business and the expected satellite launch date.
Corrado De Gasperis: All right, yeah, I'll take that one. I guess it is coming up on the time. Well, so maybe a good way to conclude. Look, the expected launch date is in the fourth quarter. I mean, it was a wonderful relief when the regulators cleared the launch and gave approval for that they're scheduled to do in the fourth quarter. They're very much looking forward to due in the fourth quarter. There are still some prerequisites that go along with that, so it's never guaranteed, but it's looking very good. We're excited about it because really the hyperspectral imaging and the data which is only one small piece of what Genmat can do for mineral discovery the real big piece is the AI's ability to take all of the information not just this diverse new hyperspectral information patient but the 150 years worth of data that we have on the stock and correlate.  It collaborate, it predictively, generate new mineral targets for us. As I mentioned during the Upload 23, exploration drilling conventional activities in terms of discovering new minerals, it's very difficult. The industry is facing a wall, a very hard wall in terms of new mineral discoveries. They've essentially fallen off the cliff. We have a tremendous amount of data which makes our exploration a risk significantly lower than most other greenfield or relatively newer exploration sites.  If we couple that with this kind of intelligence we can not only much more efficiently expand our resource which we're planning to do here but also effectively to increase it much, much more. So that's that update. I close with one other aspect, though. Genmap, Billy, myself and Kevin were down in Austin, Texas last week for most of the week, frankly, with Deep and the Genmat team and what they're accomplishing with material simulation, material engineering it's staggering. I mean, what they've already accomplished in having a physics based AI with quantum mechanical and quantum chemical capabilities to be able to already simulate almost a dozen characteristics of metal oxides it's deployable today. It's also bleeding edge today. We don't see anybody that's really comparable in being able to do this. Now we see a number of people jumping in and saying they need to do this which gives us a validation.  But the amount that they've accomplished. With just, I mean literally less than $10 million over a greater than two year period is remarkable. It's unimaginable. They're ahead of where we had originally thought they would get to and it's creating a lot of attention in the industry. More exciting is the agreements that they're for forging with national recognized laboratories. As I mentioned earlier on this call, those are validating agreements. Those are taking the highest subject matter experts and validating the results in the lab of our simulations and our predictions.  There'll be more of that coming. The incredible proprietary capability that they've developed and are continuing to develop well beyond what we're currently talking about is great. And then getting commercial customers paying for and validating in all those cases, it isn't just a testament and a validation of what we achieved, but in all those cases, it continues to increase the capability, the robustness, the functionality of a physics based artificial intelligence. Two and a half years ago, people were scratching their heads. What are we even talking about here today. It's everywhere. And we're sitting here as a leader when it comes to valuations of this. Currently from a market perspective, it's great than almost everything. Fuels is huge. So we're sitting on some incredible, incredible opportunities with important this is how I want to close the call off with dedicated teams sitting on each one of these market commercialization.  So I really appreciate it. We've used up our time. Those were great questions. We look forward to a lot of communication that's up and coming in the next one, two, three months, and we'll be out in the Road Sadati conference next week, New York in September and beyond. So. Thank you, Will. Thank you, Billy.
Will Maze: Well, thanks, Corrado. Thanks, Billy. Thanks, everyone, for joining today. I recognize that there's a number of questions we didn't get to, and if you registered and put your email in the registration, we will be answering your questions. Also, if you have further questions after the call, please feel free to send them to ir@Comstockinc.com. Again, that's ir.comstockinc.com. Today's webinar will be the recording will be made available on Comstock's website soon. Again, just want to thank everybody for joining us today and we'll look forward to speaking to you in the near future. 
Corrado De Gasperis: And please do go to our website, the Investor page, and complete the Investor survey. We're eager to hear from everyone.
Will Maze: Absolutely. Thanks, guys.  Powered by Notta.ai